Operator: Good morning. Thank you for joining OFG Bancorp's conference call. My name is Maria and I'll be your conference operator today. Our speakers are José Rafael Fernández, President, Chief Executive Officer and Vice Chairman and Maritza Arizmendi, Executive Vice President and Chief Financial Officer. A presentation accompanies today's remarks. It can be found on the Investor Relations Web site on the home page in the, What's New box, or on the Webcast, Presentations & Other Files page. This call may feature certain forward-looking statements about management's goals, plans and expectations. These statements are subject to risks and uncertainties outlined in the Risk Factors section of OFG's SEC filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments that occur afterwards. We also direct you to the explanation of non-GAAP measurements that are included in our presentation and news release. All lines have been placed on mute to prevent background noise. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the call over to Mr. Fernández.
José Rafael Fernández: Good morning. And thank you for joining us. Please turn to Slide 3. Before the market opened today, we reported third quarter result, which reflected the impact of several non-core strategic transactions. We generated 14% increase in adjusted earnings per share. Adjusted return on average assets and return on average tangible common equity also improved. And reported net interest margin continued at a level similar to top performing peer banks in the mainland. We are extremely pleased with our core performance, our levels of small business, auto and consumer loan production, core deposit growth, credit quality and capital and the number of net new customers, all confirm the effectiveness of our differentiation strategies. Since we made our Scotiabank announcement, we have been engaged in extensive integration planning. We're extremely excited about how the acquisition will significantly enhance our position as a premier retail bank on the Island, and establish a strong foothold in another Caribbean market. As always, thanks to our OFG team and the new members who will be joining us from Scotiabank for their commitment and dedication, and to all our retail and commercial customers for their loyalty and support. Please turn to Slide 4. During the third quarter, we took advantage of positive market conditions, both in the U.S. fixed income markets and here in Puerto Rico, and decided to sell a good portion of our remaining NPLs to sell from fully charged-off loans at a profit and to sell almost 40% of our investment securities. Here is how these and other items affected our results. First, provision was increased by net $32 million. This reflected $39 million increase, primarily from deciding to sell $95 million of unpaid principle balance NPLs. This was partially offset by $2.4 million in proceeds from the sale of $26 million of fully charged-off auto and consumer loans. It was also partially offset by $4.5 million decrease in the allowance for loan and lease losses due to improving asset quality trends in Puerto Rico. Second, we had $3.5 million gain from selling $322 million in low yielding mortgage-backed securities. I'd like to point out the tactical as well as the strategic benefits of all these transactions. First, they further strengthen our already strong liquidity and balance sheet as we continue to deploy our growth strategy. Originated non-performing loans are now 40% lower year-over-year. Selling them enables us to free up resources, reduce related expenses and increase operating flexibility. Combined with our MBS sales, we are close to $1 billion in cash to fund our growth plan, including pre-funding our $560 million acquisition of Scotiabank's Puerto Rico and US Virgin Islands operations. Second, our MBS sale also resulted in another major reduction in higher cost broker CDs and wholesale borrowings, which are now down a total of 42% year-over-year. From a management point of view, all of this gets rid of potential distractions so we can focus all our attention on our integration plans with Scotiabank and our growth strategies. Please turn to Slide 5 to review our financial performance. Net revenues totaled more than $99 million. While down slightly year-over-year, they remain up 3% year-to-date. A key factor in the third quarter was an 8.7% increase in originated loan income, which offset declines in income from the runoff of acquired loans and of investment securities due to the mortgage-backed securities sales. Core non-interest income continued at very steady levels. As a result, on an adjusted basis, earnings per share came in at $0.48. Return on average assets was 1.65%. Return on average tangible common equity was 11.18%. The efficiency ratio was 52.10%. And reported tangible book value per common share was $17.11, up 5.4%. Please turn to Slide 6 to review our operational highlights. Total net loans increased 1.2% to $4.4 billion. Growth of originated loans at 4.8% more than offset the continued paid down of acquired loans, and the sale of non-performing loans that we announced earlier. Loan production totaled $291 million compared to $347 million in the year ago quarter. Auto and consumer lending remain strong at $142 million and $48 million, respectively. Commercial lending at $66 million reflected continued growth of small business customers. Core deposit average balances increased 3.4% to $4.6 billion approximately. This reflects growth in commercial loans, net new customers and our larger core retail funding base. Loan yield declined 7 basis points, reflecting higher returns on originated loans and lower yield on acquired loans. Originated loan yield increased 11 basis points from the net effect of Federal Reserve rate tax hikes last year, and a larger proportion of higher yielding originated commercial and auto loans in the portfolio. Core deposit costs continued to remain relatively low, up only 18 basis points year-over-year. The end result was a net interest margin of 5.35%. Please turn to Slide 7 to review credit and capital. The net charge of rates and provision obviously increased as a result of our non-performing loan sales. The sales, however, reduce use the NPL rates 145 basis points year-over-year, as well as the total delinquency rate. And excluding items, provision of $11.7 million declined $2.8 million, reflecting better asset quality and improving economic conditions. Capital continues to build. Once again, our ratios increased across the board to new multiyear highs. Total stockholders' equity increased 8.2% to $1.05 billion. Our tangible common equity ratio climbed to 14.07%. In our news release, we provided a formal indication of how CECL implementation will affect us. We're estimating an increase in the current allowance in the range of 16% to 23% for the originated book, and no effect on the acquired book. Please turn to Slide eight for our outlook. To sum up, we're building excellent momentum as we prepare to close on our acquisition of Scotiabank's Puerto Rico and USVI operations. We expect to receive regulatory approval by the end of the year. We're excited for what our future holds, as we will become the premier retail bank in Puerto Rico. With this, we end our formal presentation. Thanks to everyone for listening. Operator, let's start the question-and-answer session.
Operator: Thank you. [Operator instructions] Our first question comes from Brett Rabatin of Piper Jaffray.
Brett Rabatin: I wanted to first ask, José Rafael, can you just talk about for a second. When you look at the macro picture in Puerto Rico, the stats tend to be flattish, the [GII] [ph] Index has been bumping along at 120, and Cruise ship visitors have been down a little bit, auto sales are okay. There was a report last week on Bloomberg that referenced a few other things, talking about the potential for Puerto Rico to only get $39 billion of the $69 billion of funds from FEMA and HUD. I was just curious if you could give us some color on what you're seeing economically in Puerto Rico and then what you've heard about the potential decline of funds coming to Puerto Rico?
José Rafael Fernández: So what I think we're living right now here in the Island is transitioning, an economy transitioning from not only the aftermath of Maria reconstruction but also for the last 12, 13 years of economic contraction. So federal funds are coming in. They're coming in slower than anticipated. There is still a little bit there of uncertainty regarding the magnitude of how many funds are going to come [indiscernible] to the Island. But the truth is that there is very little knowledge in the ground in terms of the specifics, Brett, in terms of the dollars and on when are those funds coming in. They are certainly trickling, primarily for the roads and there's a lot of rebuilding on the roads and the bridges. There is still work in progress in terms of the electric power authority and [infrastructure] [ph]. There's still a lot of expectations on the housing funds coming in for rebuilding and actually building new homes. But we are seeing some of our larger construction services clients being awarded projects to build and rebuild homes. And those funds have already been allocated, they've been awarded. And they have yet to be disbursed, because there's still some hoops to go through. So, my expectation would be that we will continue the end of the year as we have seen so far this year with lots of noise on when the monies will come in, and how much will come in, and how the fiscal [Board] [ph] portrays in Washington, how much fiscal is the plan including in terms of federal funds. But I do believe that there are lots of moving parts and there's lots of listeners out there that have a vested interest on, particularly bondholders, on how these things come out. So I think we will continue to have quite a bit of noise and create somewhat certainty that is keeping the economy relatively flat. My expectation would be that next year funds will start flowing in a more consistent basis and the impact from the economy as most of the local non-political economists in the Island are projecting, and we will see the results. So far I am encouraged. I am encouraged with what we're seeing and our customers, commercial and consumer are certainly in a much better financial position that they were a couple years ago, and their balance sheets show it.
Brett Rabatin: I was also curious with all the changes on the balance sheet here. Could you give us an idea of how interest income might play out with the four pieces, originated loans, acquired cash and securities, which is obviously lower this quarter, how that affects the 4Q run rate for net interest income?
José Rafael Fernández: So first, let me just say a couple things here. We were very opportunistic this quarter. Interest rates in fixed income securities are, again, I would say record lows again or multi decade lows. So given the acquisition that we are pending to get approvals from on the Scotia and the fact that the value of that transaction is $3.8 billion of our core low yielding low cost deposits, it make a heck of a lot of sense for us to just not have to rely on broker CDs and wholesale funding that are a lot more expensive. So we don't need to have that expensive funding. So that's the first thing. We took advantage of that. And we know it's going to have a little bit of a short-term impact. But the transaction expected to close in the fourth quarter we're really managing the bank for the longer term, Brett, and not necessarily for the fourth quarter. So if we had a little bit of a reduction in interest income into the fourth quarter because of the sale of the securities, we take it and we move forward, because the added value comes in with the acquisition. Secondly, on the NPL sales, look we are getting rid of capital that was not well used. And what we're seeing is interest from the U.S. capital coming into the island interested in buying this, we're seeing a better bid. And again, we were pretty good in the quarter at getting these transactions firmed up and we're excited to get rid of those assets. We'll be able to reduce operating expenses on that sale alone at the tune of $1.5 million to $2 million, simply because we won't have to work out quite a few residential and small commercial loans. So again, those were non -- they've been impacted interest income, because they were basically not generating any interest income for us. But it clearly cleans up lot of unnecessary work and dedicate our resources to what we are here for, and what we are here for is to grow. And this acquisition with -- the acquisition of Scotiabank Puerto Rico and USVI, gives us tremendous potential and tremendous momentum for us to grow and take advantage of how the economy is transitioning to a new phase here in Puerto Rico.
Brett Rabatin: And if I could sneak in one last one just on Scotia and how that review process is going. I know you're looking for regulatory approval. Can you give us any update on the timing of the transaction?
José Rafael Fernández: There is not much I can add. Regulators are engaged with us and we're engaged with them, and they'll have to go through their process. We're conscious that the level of information sharing is active and real time. And we're confident that by the end of the year, we should have a positive response on the approvals.
Operator: Our next question comes from line of Alex Twerdahl of Sandler O’Neill.
Alex Twerdahl: Just to clarify on the last question there. You said that you've reasonably confident that you'll get regulatory approval by the end of the year. Are you also confident the deal will close by end of the year?
José Rafael Fernández: Both, yes.
Alex Twerdahl: And then just wanted to ask a little bit more on the loan growth numbers that we saw this quarter. We saw loans go down a little bit, but I think that probably impacted by the loan sales. So maybe you can just give us some color and help us just turn a little bit more on sort of what the organic core loan growth look like during the quarter and then also kind of how your pipelines are looking into the end of the year and into 2020?
José Rafael Fernández: So, you are absolutely correct. Even though you see loan balances going down, they're primarily impacted by two areas. One is the runoff of the acquired book but more importantly, the sale of the NPLs. So if you look at it, ex the NPLs sales our loan -- we have loan growth. So what we're seeing into the fourth quarter, we see good pipeline still. We see, on the commercial small and middle market commercial business, we see a good pipeline. We continue to be encouraged with what we're seeing on auto-lending. We're seeing a slight improvement in mortgage lending also. Consumer lending remains steady. We had a good quarter again this third quarter was $48 million in originations on the consumer side. So what we are seeing is our good momentum into the fourth quarter. And again, we're working on many work streams right now as we are planning the closing and the integration of Scotiabank. So we have our hands full. But having said that, our teams continue to be very focused on generating the business and on executing on our plan on the fourth quarter.
Alex Twerdahl: And then just talking about the provision a little bit going into next year, first off, I really appreciate the color you've given on CECL and sort of the day-one impact to the reserves. How should we think about the reserve and the provisioning into 2020 with CECL, as well as having adjustment due to our macro factors in Puerto Rico this quarter? How should we kind of thinking about this, when a good starting point for the reserve or the provision for starting the beginning of next year and two, how that is actually going to impacted by CECL?
José Rafael Fernández: So I'll pass it to Maritza. Just want to say a little big picture. And I mentioned it earlier when Brett asked us the question. It's a little hard for us to be able to give you more color on the provisioning next year, simply because we're in the midst of closing an acquisition. So that will have its own intricacies. But from a macro perspective, our expectation is that credit trends will continue to move in the right direction. And therefore, that should have somewhat of an impact throughout the year, unless Maritza has any additional color to share...
Maritza Arizmendi: We have been focusing in having the more ready for day-one, and we're share with you the day-one impact. And at this moment, it's too early for us to add some color on how day-two will impact the levels of provisioning. But as José mentioned, we will do working with that and as soon as we have some information, we will share it with you.
Alex Twerdahl: And then just final question. Can you just help me sort of jive the NPL sales, kind of what was the mark on the loans? I saw that there's 29 million of mortgages and $9 million of commercial NPLs that were sold. How can we get that back to the $95 million in unpaid principal balance?
Maritza Arizmendi: In general, Alex, at this point, we won't share any pricing for competitive reasons. But the figures are there and we thought these levels of pricing that we get are far better than what we saw before -- pre-hurricane levels.
José Rafael Fernández: But again, as Maritza mentioned, we were happy with the pricing we've got and better than what we've got pre Maria and better than we saw in the last 12 months for sure. But we really don't want to be sharing too much specifics there in terms of the pricing.
Alex Twerdahl: Can you share with us kind of how you determine which NPLs that you told about a third of them. Is there any common characteristics between them that made them particularly worth selling? And whether or not we should expect further loan sales in subsequent quarters?
José Rafael Fernández: Okay, you asked two questions. I'll give you two answers. The way we looked at it was, let's focus on residential, because they are small 120,000, 115,000 per loan, let's focus on small commercial because again those are more costly to work out than the bigger ones in terms of the operating side. So that's how we looked at it. They are all non-performing, non-accrual loans that were in bankruptcy, some of them, and we just had to spend a lot of time on them and that's kind of what was the first driving force behind it. Many of them were non-accrual, many of them were having cash flow challenges in their own businesses. So that's kind of where we came from. Number two, should we expect more sales? Well, I don't know if you realize but the level of NPLs that we have is quite low. And so we do not expect to have any additional sales. We do feel that we've cleansed all these legacy NPLs from residential and small commercial particularly, and we're good to go. So again, opportunistic in the quarter and happy to get it done with additional liquidity coming into the market.
Operator: Our next question comes from the line of Joe Gladue of Alden Securities.
Joe Gladue: Let me start with it and I guess you talked about a little bit about the balance sheet going forward. But with typically you've run with the level of securities maybe 17% to 20% of total assets. It's well below they are now. Do you think you'll be sort of drifting back toward that level after the Scotia acquisition or do you plan on running with the lower level of securities going forward?
José Rafael Fernández: We are planning on having a lower level of securities going forward, Joe. Our expectation is to be able to first deploy the cash to close and finalize the transaction and make the payment, but also our planning forward is for deploying into loans and have the ability to focus on our most important markets. The small commercial and middle market commercial auto with the acquisition of Scotiabank will have a lot more scale on the residential side. So we'll be able to do a little bit more there too. So it won't happen immediately as you can imagine, but in our planning the intention is not to extend duration on the fixed income securities market and better deploy it on the higher-yielding loan bucket.
Joe Gladue: And again, you did discuss some of the loan outlook and pipeline and everything, just wondering if you could give a little more color on the U.S. originations. It looks like this was the lowest quarter since you started that program for originations. Is that because you've kind of reached the level you're comfortable with or is there anything else going on there?
José Rafael Fernández: No, I mean we've mentioned in the past, the US loan program continues to be an important and part of our strategies going forward. It has its ebbs and flows, so some quarters we'll do $12 million like this quarter, others will do $40 million or $50 million. It just depends on what we see. And again, we are being very prudent, very conservative. So lots of things can come up, but we're not necessarily going after it. So we're being very methodical and that's why you will see that ups and downs on a quarter-to-quarter basis.
Joe Gladue: And I guess, I'll just ask if you could give some color on the deposit pricing trends in the island and where you're expecting them to go?
José Rafael Fernández: Well, with Federal Reserve Bank bringing down Fed funds twice this year and the expectation of one or two more costs, I think any potential pressure to increase cost of funds in the past, it's certainly subsided. We still have excess liquidity here in the market in Puerto Rico. So that has been very helpful throughout this end -- the ending to the higher rate cycle. Now that we're back into a lower rate cycle, and of course, with the acquisition of Scotiabank, it gives us tremendous strategic benefits, because we really have a solid core low-cost funding base with almost 500,000 clients. So again, we don't foresee significant or any pressure going forward in terms of the cost of funds. There might be some competitive pressures in the local market trying to focus on us, which we are seeing. But we know how to play defense too. So we don't expect that to affect us going forward, Joe.
Operator: Our next question comes from the line of Glen Manna of KBW.
Glen Manna: I just wanted to follow up on Alex's question. I'm trying to kind of get into what was the organic loan growth rate, and I know Jose, you said that it was -- loans were up, but when I look at loans held for investment at period end versus the second quarter, looks like they were down $97 million. How much of that $97 million drop was due to moving the loans that held for sale?
José Rafael Fernández: So, Glen part of the reason why we're not giving that number is, because we're being very cautious with pricing in terms of the sales. So again, we are using unpaid principal balance as the metric to disclose the sales, which was $95 million between acquired and originated loans. But in the end, when you see, we have organic loan growth primarily from the auto originations, which was $140 million. We have around $30 million of repayments every month. So we have an idea there. And the same with consumer, we had a very good quarter. And then residential mortgage has been trending down, because of repayments all along. So again, commercial, small business, auto, and consumer are the drivers for us to remain growing our core loan book in the numbers for this quarter.
Glen Manna: Well, so that's a thing, and I think what's kind of masking all of this is, when you look at originations, and you back out the US Loan Program, OFG USA, originated loans on the island were actually up like 3.3% quarter-over-quarter, which is pretty good, because the third quarter is usually a seasonally soft quarter for you guys.
José Rafael Fernández: So those are good numbers for us too. So we are seeing 2% to 3% annual average growth in the loan portfolio when you look at it, and the run rate for this quarter was, when you look at it from an organic perspective, excluding the sales of the NPLs, it remains around 2% to 3%.
Glen Manna: And maybe just a little bit of color, you sold some lower-yielding securities. Right now it's in cash maybe you paid out some brokered deposits. What's the NIM trajectory here? Do you hold this level? Do you increase and kind of the impact of what's going on in the mainland in terms of the rate environment?
Maritza Diaz: So what we're seeing is something similar what happened to us this third quarter that Fed moved rates during July. So we have only a reduction of 3 basis points in the NIM. What we are seeing for this next quarter would be something very similar. We will see probably a slight reduction in the GI term loans, but, we will compensate through the reduction in the wholesale funding. So that's how we see the NIM going forward, probably stable or going down 3 basis point, 4 basis going as we did this quarter.
Glen Manna: And refresh my memory, when you announced the Scotiabank deal, you were going to sell $1 billion of securities post closing or the securities that were sold this quarter, is that inclusive of that amounts or should we expect $700 million in sales post closing, or is it still $1 billion in sales post closing?
José Rafael Fernández: No, no. We were opportunistic, Glen, in the quarter when we saw interest rates dropping. So we kind of pre-empted that transaction that we announced when we announced the Scotia deal. So we've done the sale. Once we do the closing, the investment securities that are carried from Scotia, we'll take a look at them, but they will carry in into our balance sheet. So to answer your question, we announced post deal, but we did a pre-deal because of market conditions.
Glen Manna: But there is a pretty significant difference in the amount, right? $330 million this quarter and then it was $1 billion I think, when you announced it, right? When you announced...
José Rafael Fernández: Yeah, yeah, yeah. We remember, last quarter we also sold securities. So that adds a little bit more. So there is not much of a difference, maybe $200 million difference and that we are building cash. So we don't need to sell, we don't need to sell.
Glen Manna: And I know in a quarter where you have these kinds of adjustments and things moving around, the tax rate can flip around a lot. I think Maritza you had said last quarter you expected a second half tax rate of around 32%. It was 26% this quarter, where do you expect that to go?
Maritza Diaz: Well, the effective tax rate for the year is estimated at 30.15% and it's basically the changes, the mix of this transaction, because we have higher proportion of exempt income versus taxable income. And that's why it get reduced from the original expectations.
José Rafael Fernández: So 30% more or less going forward.
Operator: [Operator Instructions] Our next question comes from the line of Brett Rabatin of Piper Jaffray.
Brett Rabatin: I just want to follow up on two things. One, just want to make sure I understood the pro forma liquidity or the -- when we close the deal, how much liquidity are you anticipating having on the balance sheet?
José Rafael Fernández: So given the transactions that we did this quarter and the past quarter, we expect to have the same level of liquidity that we announced. It's just that we pre-empted the sale of securities in this around the previous quarter. So there are no different expectations there.
Brett Rabatin: So I wanted to be clear on that. And then Jose Rafael, can you just talk about for a second, when I look at the commercial loan production. I mean that's kind of trended. Obviously, 2Q last year was kind of a different quarter, but the numbers have kind of moved down a little bit over the past year, and I'm just curious if you could give any color if that's a function of activity or you're just seeing heightened competition from your peers. I know you want to become the lender of choice to the SME market in Puerto Rico. Can you give us any color on kind of the production trends in commercial?
José Rafael Fernández: Yes, actually the production trends this year in the small commercial are a lot better than last year. Actually we're very happy with the small business, commercial lending business this year. What's pushing the comparisons in somewhat of a negative way is the larger ticket items and there you have more competition and that's kind of where we are. Having said that, we do have seen also the postponement of some transactions that are in the pipeline and we expected to close this quarter. Maybe they close in the fourth quarter, maybe they are pushed into the first quarter of 2020. But there is still live transactions and significant ones. So all-in-all, I think the way we have transformed the retail channel and the way we have focused on the small commercial client is starting to pay off in a more consistent basis and we're extremely happy with the performance on that sector and looking forward to build on it once we do the acquisition and into 2020.
Operator: [Operator Instructions] And there are no further questions at this time. I would like to turn the call back over to Mr. Fernandez, for any additional or closing remarks.
José Rafael Fernández: Thank you, operator. Thank you to all for listening in today, and I wish you a good Monday and a great week.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may now disconnect and have a wonderful day.